Operator: Good day, ladies and gentlemen, and welcome to the Spectrum Pharmaceuticals, Inc. First Quarter 2014 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Shiv Kapoor, Vice President of Strategic Planning and Investor Relations. Mr. Kapoor, you may begin.
Shiv Kapoor: Thanks. Good afternoon, and thank you for joining us today for Spectrum's First Quarter 2014 Financial Results Conference Call. I'm Shiv Kapoor, Vice President of Strategic Planning and Investor Relations for Spectrum Pharmaceuticals. With me today are Dr. Raj Shrotriya, Chairman and CEO; Joe Turgeon, President and Chief Operating Officer; Kurt Gustafson, Chief Financial Officer; Lee Allen, Chief Medical Officer; Tom Riga, Chief Commercial Officer; and senior members of Spectrum's management team. Here is an outline of today's call. First, Dr. Shrotriya will provide you with the highlights of the fourth (sic) [first] quarter and discuss our overall direction strategy. Kurt will then provide a summary of our first quarter financial performance. Following this, Joe will review the operations of the company and Lee will review the pipeline. We will then open up the call to questions. Before I pass the call the Dr. Shrotriya, I'd like to remind everyone that during this call, we will be making forward-looking statements regarding future events in Spectrum Pharmaceuticals including statements about product sales, profits and losses, the safety, efficacy development timeline and clinical results of our drug products and drug candidates, that involve risks and uncertainties that could cause actual results to differ materially. These risks are described in further detail in our reports filed with the Securities and Exchange Commission. These forward-looking statements represent the company's judgment as of the date of this conference call, May 8, 2014, and the company disclaims any intent or obligation to update these forward-looking statements. However, we may choose to update them, and if we do so, we will disseminate the updates to investing public. For copies of today's press release, historical press releases, 10-Ks, 10-Qs, 8-Ks and other SEC filings and other important information, please visit our website at www.sppirx.com. I'd now like to hand the call over to Dr. Shrotriya.
Rajesh C. Shrotriya: Thank you, Shiv, and thank you, everyone, for joining us this afternoon. I'm very pleased to share with you the excitement that we have at Spectrum. We have started the year with a strong first quarter. Our base business consisting of 4 marketed anticancer drugs remains strong, and product sales for the third consecutive quarter were over $40 million. Compared to the same quarter last year, our product sales were up 37%. Joe will provide you specifics on encouraging trends that we see in our base business. Besides the marketed drugs, we have an exciting and maturing pipeline. Let me talk about the highlights of our pipeline. Firstly, we expect an FDA decision within 3 months from now that is on or before August 9 on our New Drug Application filed for Beleodaq. Beleodaq is a novel HDAC inhibitor and we are quite excited about its launch in third quarter if approved by the FDA. Secondly, we plan to file with the FDA a New Drug Application for our Captisol-enabled melphalan. As you may recall, our Captisol-enabled melphalan is free from propylene glycol, and therefore, is expected to be safer than the currently available products. In addition, our drug is expected to have a longer shelf life. Thirdly, one of our highest priority project in the company is SPI-2012, a long-acting GCSF or granulocyte colony-stimulating factor. I'm pleased to inform you that the enrollment in the Phase II trial is going well. We plan to make a go-no-go decision for Phase III studies later this year. This drug, if approved by the FDA, would enable us to compete in a $6 billion market worldwide. I'm especially excited about this drug as the launch would be led by a Spectrum team that already has extensive experience in this market segment having launched pegfilgrastim also called Neulasta. Lee Allen and Joe Turgeon will talk more in depth about these programs. This is Joe Turgeon's first presentation as President and Chief Operating Officer of the company. In the time that Joe has been at Spectrum, I can say, without doubt, that I have been much impressed with his capabilities. This is the first time in my 11 years at Spectrum and in nearly 40 years in the industry that I have seen an individual with the energy, passion, commitment and dedication as I've seen in Joe. I think under Joe's leadership, you will see several positive changes in many aspects of our business and organization. His leadership as President and Chief Operating Officer is exactly what Spectrum needs at this point in time for our growth. We are excited about the growth opportunities for Spectrum. We continue to leverage our existing business and resources. If Beleodaq is approved in August, we will have 5 drugs on the market, and if Captisol-enabled melphalan is approved in 2015, we could have 6 drugs on the market within the next 18 months or less from now. Both of these drugs will be promoted to the same audience, hematologists, oncologists, thus leveraging our existing commercial capabilities. Beyond the ones I have just mentioned, there are several growth opportunities and catalysts inside the company. For example, expansion of indications for Marqibo in non-Hodgkin's lymphoma, ZEVALIN in diffuse large B-cell lymphoma and new agents like SPI-1620 and apaziquone, among others, which make us even more excited about the growth prospects for the company. Let me now hand over the call to Kurt to discuss financials. Following Kurt, Joe will give you an overview of our operations and Dr. Lee Allen will discuss our medical programs. Kurt?
Kurt A. Gustafson: Thank you, Raj, and good afternoon to everyone on the call today. Our press release covers all the important figures, so in my remarks, I'll touch on a few of the highlights of the quarter that I believe are particularly important. First on sales. We had $40.1 million in total sales in the first quarter compared to $29.3 million in the same quarter last year. FUSILEV sales were $22.2 million in the first quarter, up 88% over last year. For the third quarter in a row, reported FUSILEV sales are consistent with the underlying demand for the product. And I'd also like to highlight that for the first time in several quarters, we saw an incremental increase in FUSILEV end-user demand. Demand remains between $20 million and $25 million per quarter. FOLOTYN net sales were $10.1 million, and for the past few quarters, we've seen stable demand for FOLOTYN in the $10 million to $12 million range. ZEVALIN net sales were $6.3 million, and while we had a slow start in January, in the month of February and March, demand was back on trend, in line with our historical range of $7 million to $8 million per quarter. Marqibo net sales were $1.5 million and the Marqibo launch trajectory continues to be consistent with our expectations. As I mentioned on the last quarter's call, we recorded the milestones paid to TopoTarget for the Beleodaq filing, both the $10 million in cash, as well as the 1 million shares valued at approximately $8 million as R&D expense in the first quarter of this year. Without these onetime R&D expenses, it would have been $11.7 million. As we look ahead, we expect our clinical development activity to increase as we pursue label expansion and aggressively advance the products in the portfolio and thus we would anticipate that our R&D costs would go up in 2014 relative to 2013. Our SG&A expenses for the quarter were $23.4 million compared to last year's SG&A expenses of $22 million. We expect that our SG&A costs will remain relatively stable going forward. Now let me hand the call over to Joe to provide an operational update.
Joseph W. Turgeon: Thank you, Kurt. Thank you, Dr. Raj, and I'd like to thank everybody on the call for their interest in Spectrum and also your participation. Before I start, I'd like to say that I'm really excited to serve as President and Chief Operating Officer. As you've heard from Dr. Raj and Kurt, we have an exciting story at Spectrum, and I'm committing to serving patients, shareholders and our people. Let's talk about our people for a minute, our employees, because they are our most precious resource. Any company is only as great as its people. It's important for everyone to hear that we continue to recruit and hire outstanding talent with the proper skill sets and backgrounds to execute our strategies and move our company forward. A great example is sitting right next to me in Tom Riga, the new Chief Commercial Officer. We are building teams with the highest quality of talent and expertise to collectively yield the best return from our currently marketed drugs and also deliver on our pipeline. My expectation is continuous improvement in our people, our strategies, processes and results. Our goal is to deliver, period. I will not, and I do not accept excuses of mediocrity. We will move aggressively forward and onward. Now let me provide you with my perspectives on our base business. Since I joined Spectrum, I have not been more confident about the strength of our core business. We now have 4 drugs in the market. Product sales for this quarter surpassed $40 million, and that's for the third straight quarter. Let's talk about FUSILEV. We've been able to implement some key changes in our sales strategies, and these are starting to bear fruit, I'm happy to tell you. FUSILEV sales have significantly bounced back since last year. More importantly, I'm pleased to report that recent trends are showing a renewed quarter-to-quarter growth of FUSILEV in end-user demands. ZEVALIN and FOLOTYN remain strong niche drugs that contribute to our business. In the next 2 years, we expect incremental growth in the business for newer drugs like Marqibo, Beleodaq and melphalan. Because we leverage our infrastructure for these commercial efforts, we don't expect to meaningfully increase our SG&A expenses. What we can do then is use the additional proceeds to invest in our future. Our focus is on key milestones, 3 of them in 2014: number one, attaining approval of and launching Beleodaq in Q3; number two, Captisol-enabled melphalan filing for approval; number three, making a go-no-go decision on SPI-2012. As Dr. Raj mentioned, we filed Beleodaq's NDA in December, and the FDA granted a priority review with a PDUFA date or decision date of August 9. We are seeking FDA approval of Beleodaq for the treatment of patients with relapsed or refractory peripheral T-cell lymphoma. When you look at PTCL, it's a fatal disease, it's really difficult to treat. The most effective drugs in the setting, provide a 25% to 30% overall response rate. Those patients who initially respond usually progress within a year. Therefore, patients routinely several through -- they cycle through several lines of therapy. The need for new drug in this setting is obviously high. That's reflected in the FDA's decision granting Beleodaq a priority review. Based on the feedback from key opinion leaders, we believe Beleodaq will be a welcomed new treatment option for these patients. Physicians' feedback highlight the safety and tolerability profile that Beleodaq offers. We believe that will differentiate it from existing treatment options that are available. Beleodaq also fits perfectly into our existing commercial organization. Our team currently works with the majority of the key opinion leaders who treat PTCL with FOLOTYN. Therefore, we expect to successfully launch Beleodaq with our existing team. It fits in our bag extremely well. We are pleased to see positive data from CE melphalan's pivotal trial. Captisol-enabled melphalan is being studied as a conditioning agent for stem cell transplant in multiple myeloma and has been granted Orphan Drug designation by the FDA for this indication. CE melphalan is designed to overcome the limitations of existing melphalan formulations. Current formulations contain propylene glycol, which has been associated with renal and cardiac side effects. Also, it's been associated with poor solubility and a short stability profile of only 16 minutes. The Captisol technology eliminates propylene glycol from the formulation and provides for a significantly longer stability profile. This may allow physicians to administer Captisol-enabled melphalan for longer durations and at slower infusion rates, potentially enabling higher dose intensity for treatment of pretransplant chemotherapy. The target audience for this indication will be transplant physicians and institutions. There are less than 200 of those centers in the U.S., many of those physicians are currently called on by our existing sales team again, and these physicians routinely transplant both multiple myeloma and lymphoma patients, once again, fitting nicely into our bag. SPI-2012 is an opportunity that has a potential to change the growth trajectory of our company. As Dr. Raj mentioned, this is a high priority for us. Our key Phase II trials enrolling well, and we had a good position to make at Phase III go-no-go decision by the end of the year. I want to remind everybody of something. SPI-2012 is not a niche drug like some of the others in our portfolio. There are some important differences between SPI-2012 and pegfilgrastim. Dr. Lee will talk about that later. A positive Phase II study with SPI-2012 gives us a real chance to compete in a mega market, that's a market that I have had the good fortune of help building by being responsible for the launch of pegfilgrastim many years ago. Before I ask Lee Allen to provide you with an update in research, let me remind you that Spectrum is in a strong position to execute our mission. I want all stakeholders to hold us, and particularly me, personally, responsible for the growth of this company. I will, in turn, hold everybody at Spectrum responsible and accountable to do their part. I am committed to generating results through the right strategic thinking, plans, actions and execution. This will lead to successful accomplishments of our important milestones. I want you, all, to be proud to be part of this growth story. With that, I'd like to ask Dr. Lee Allen to give us an update on the medical side.
Lee F. Allen: Thank you, Joe. The medical development group at Spectrum remains focused on aggressively advancing our portfolio with an emphasis on addressing important unmet medical needs for cancer patients. We're very fortunate to have such a robust pipeline and are working to further optimize our infrastructure with the goals of improving the speed and efficiency of all our development activities. There is a true sense of urgency here as we work to quickly bring our project to key milestones and decision points, with a focus on strategically allocating our resources, using patients and value as the key drivers. We anticipate the approval decision on the Beleodaq NDA soon, and plan to submit 2 new drug applications thereafter. In addition, we are generating the data required to bring several of our other assets to key decision points this year. I'll start by reviewing our continued progress on the 2014 goals that were outlined in our last call. For Beleodaq, the NDA review has been going very well, and we expect the FDA's decision on its approval for the treatment of relapsed or refractory peripheral T-cell lymphoma on or before August 9. Beleodaq is unique in inhibiting all 3 classes of the zinc-dependent HDAC enzymes, which differentiates it from romidepsin, a selective Class 1 HDAC inhibitor currently approved for the treatment of patients with PTCL. This different pattern of inhibition of the various HDAC isotypes by Beleodaq may be responsible for the observed low incidence of thrombocytopenia and its clinical efficacy in patients with relapsed or refractory PTCL. We believe that the granting of a priority review for that Beleodaq NDA, despite the approval of 3 other agents for this indication, reflects its level of activity and the unmet medical need for new treatments for patients with peripheral T-cell lymphoma. We remain very confident in the submitted data that we believe strongly support the approval of Beleodaq. For Captisol-enabled melphalan, we announced positive preliminary results from the pivotal Phase II trial, which met its primary endpoint. We expect the final data supporting the use of this new formulation as a high-dose conditioning agent for patients with multiple myeloma undergoing autologous stem cell transplantation to be available to us by the end of the second quarter. Captisol is unique. It's a modified cyclodextrin that was rationally designed to improve drug solubility, stability, bioavailability and dosing. For melphalan, its use eliminated the need for a special non-aquaeous solvent system containing propylene glycol. And it also improves melphalan's stability. This allows for longer infusion times and potentially, the ability to administer higher dose intensity chemotherapy, which could lead to improved patient outcomes. NDA preparations have already been initiated, and we plan to file and aim to file a Captisol-enabled melphalan NDA in the third quarter. For SPI-2012, our novel long-acting granulocyte colony-stimulating factor, the Phase II dose-binding study is enrolling well and we are in a good position to make a go-no-go decision for Phase III later this year. We are very excited about SPI-2012's a novel LAPSCOVERY Technology that prolongs the time that GCSF remains in the bloodstream by linking it to a specifically engineered protein carrier. This formulation also leads to greater bone marrow penetration. We believe that this formulation has several important advantages over PEGylation, which is used in the only currently approved long-acting GCSF in the U.S., pegfilgrastim. The Phase III program for SPI-2012 will consist of 2 global pivotal trials that will be run in parallel. These study designs will be finalized based on the Phase II study results and discussions with FDA and other global regulators. We have already started identifying sites that will be involved in this Phase III program. For apaziquone, our plan is to file a New Drug Application and start another supportive Phase III study in patients with superficial bladder cancer, based on the learnings from our previous studies. In addition to the development work that is focused on bringing novel products to cancer patients, we have also been busy driving the enrollment of patients into our Phase III programs that have as their goal, potentially expanding the approved indications for our currently marketed products. For Marqibo, this includes the ongoing global HALLMARQ trial in patients 60 years or older with newly diagnosed acute lymphoblastic leukemia and the German High-Grade Lymphoma Study Groups' optimal trial in untreated patients with diffuse large B-cell lymphoma. The study of this novel sphingomyelin/cholesterol liposome-encapsulated formulation of vinCRIStine in first-line patients with diffuse large B-cell lymphoma has the potential to demonstrate efficacy, and importantly, also reduce the associated peripheral neuropathy that occurs in these patients as they receive treatment. For ZEVALIN, the ongoing Phase III ZEST study is further evaluating the use of ZEVALIN in the treatment of diffuse large B-cell lymphoma as consolidation therapy. All 3 of these studies focus on areas of great unmet medical needs that have large associated target patient populations. I'm happy to report that over the past year, we have strengthened the expertise in our medical development group and implemented comprehensive oversight of all our programs. This has successfully led to significant improvements in our ability to execute efficiently, and I am confident and fully committed to continuing to drive such improvements here. We have a very robust pipeline with a lot of promise, and I want to ensure that we meet or exceed each of our project milestones and consistently provide high-quality products that positively impact the lives of cancer patients. I'll now turn the call back to Dr. Raj.
Rajesh C. Shrotriya: Thank you, Dr. Lee. We've got 4 FDA approved and marketed anticancer drugs, one drug under active FDA review, 2 upcoming New Drug Applications, pending additional clinical data, a maturing and a robust R&D pipeline and a leading team of experienced executives. We are very excited about the positive direction of Spectrum and our potential for further growth. At this time, I would like to open the call for questions.
Shiv Kapoor: Operator?
Operator: [Operator Instructions] And our first question is from Adnan Butt with RBC Capital Markets.
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: Maybe this question is for Raj and Joe, but what gives the company confidence on the base business at this time? What's changed since last year? Is it the salespeople, is it -- are there more of them, is it contract discounts? Just trying to get a handle on where the increasing level of -- or the quantity of visibility comes from. And then secondly, on SPI-2012, could you remind us a bit more about the background of the compound? How it's similar to or different than Neulasta? And the Phase II study that's ongoing, is it a dose-ranging study? What do you need to see from it before you decide on the Phase III go-no-go?
Rajesh C. Shrotriya: Adnan, this is Raj. And your call was kind of garbled, but I think -- let me see what I understand, and I'd like to start answering for SPI-1620. Your question on 1620 was what is the difference in the design of the study you are talking about for the FDA. So maybe I would like to have Dr. Lee Allen comment on that.
Lee F. Allen: So I think you asked about 2012 and how it was different than the pegfilgrastim. So the process in terms of it -- and how it's modified, instead of being PEGylated as is pegfilgrastim, it has the LAPS technology that is a different technology completely. And what that is, is if you think about PEGylation, what happens is you covalently bind these polyethylene glycopolymers across the whole molecule, and it coats the molecule. Well that makes the molecule last longer in the circulation, but it also decreases its activity. For the LAPS technology, what happens is there's a linker that's used to attach the active molecule to a carrier. That carrier increases the life span of the product in the bloodstream, so it's exposed longer, but it does not decrease the activity of the molecule. And so the potential is that there'll be more activity with that molecule, I should take it into clinical trials. The current study, as you suggest, is a dose-exploration study to define the appropriate dose to bring into the pivotal trials.
Rajesh C. Shrotriya: And based on the preclinical data, our component SPI-1620 is at least 3x to 10x more potent than the pegfilgrastim. So I think the second question was about FUSILEV, is that right? What we have done with the sales?
Joseph W. Turgeon: Adnan, it's Joe. Thanks for the question. I want to make sure we understand your question, what I heard was you're asking about the base business, what has changed? Is that what you asked?
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: Joe, that's right. I apologize if -- forgive the background noise. But what's changed? Is it selling strategy, is it salespeople, is it contracting, and what gives you -- what gives the company more confidence now on the visibility going into 2014 than we had 6 months ago?
Joseph W. Turgeon: Yes, okay. Good question, Adnan. I think the base business right now is a combination of things. You did ask about different approaches, yes, we have different approaches. I think we have a very strategic marketing approach. We've hired very, very good people in the field and we have -- we are tracking what they're doing, where they're going. We're tracking sales very closely. We know where the business is and where it isn't. We're very focused on the clinic market, which is we're at when we're talking about FUSILEV. And then what you also saw on the base business was basically in the first quarter, we delivered pretty close to what we normally do per product and on the same token, we have a new product that we're launching. So I think you -- that the base business has grown because we are much more focused, with a great approach, with really good people out there selling. Does that answer your question, Adnan?
Adnan S. Butt - RBC Capital Markets, LLC, Research Division: Joe, that's fine for now. I'll get back in line then.
Operator: And our next question is from Jason Kantor with Crédit Suisse.
Jeremiah Shepard - Crédit Suisse AG, Research Division: This is Jeremiah filling in for Jason. This is a follow-up to your SPI-2012 Phase III studies. How long would it take you to start those studies once you decide to -- if you decide to pursue that? And then what type of design would you pursue -- would you kind of pursue something similar to what was done for Neulasta? And then how long would it take until you guys can have data available for filing?
Rajesh C. Shrotriya: So you're right, I think the groundwork has already been laid. This is not an unchartered territory. Neulasta was developed almost 12 years ago. It was approved in 2002. So FDA has already set a record as to what kind of printed design has to be done. Keep in mind that for a drug like SPI-2012, we do not need either a survival data or progression-free survival data. What we need is an ANC or absolute neutrophil count data that can be obtained rather quickly and easily. So I would have Dr. Lee Allen comment on the number of the studies and the type of design and how long will it take to do these trials.
Lee F. Allen: So you're right, again, in saying that the current study will identify the dose for Phase III. For Phase III, we think that we want to be conservative in terms of our development plan, meaning make sure we have a very strong and robust plan that ensures that we get approval. And by that, I mean, we're going to move forward with the 2 Phase III studies in parallel. It might be possible to get approval based on a single study, but we think that given the opportunity, we want to make certain that we have a strong package. The actual design of those studies will be predicated based upon our discussions with U.S. and ex-U.S. regulators, so we'll be designing a global program. More details will come when we have that later in the year.
Jeremiah Shepard - Crédit Suisse AG, Research Division: Okay. And then regarding belinostat, assuming it gets approved later on this August, now how would you -- in terms of the messaging of that product, how would you fit that in relative to FOLOTYN? And another question regarding the FUSILEV sales. You mentioned that the end-users demand has increased this quarter. Could you quantify how much it has increased by?
Joseph W. Turgeon: Okay. I think it was Jeremiah? First thing, belinostat, are you asking about the messaging with FOLOTYN, it fits in very, very nicely. Number one, as we said, it's the same doctors we're calling on. Remember what I said that in PTCL, it's a fatal disease, patients go on various medications throughout so really in the algorithms, there's room for both. Actually, what I'm pretty excited about is the sales rep is going to get increased selling time in front of those doctors selling both products, and that's a great thing when you're talking sales. FUSILEV, you want me to quantify, I think, is what you asked for. I want to make sure I understand that question. Jeremiah, what was it?
Jeremiah Shepard - Crédit Suisse AG, Research Division: Yes, I just want to like on a percentage basis if you could say how much the end-user demand has increased this quarter over last? If I understand it right.
Kurt A. Gustafson: Yes, at this point, I don't think we'll get -- put a specific number on there. As I said in my remarks, this is Kurt, that we had an incremental increase in demand in the quarter and that's the first increase that we've seen in a couple of quarters so if we go back and take a look at Q3 and Q4, we had seen fairly steady demand in Q1. It was the first time we saw a small incremental increase in that demand and that's obviously a real positive sign for us.
Operator: [Operator Instructions] Our next question is from Chris Hamilton with R.F. Lafferty.
Chris Hamilton: Relating to ZEVALIN revenue, could we -- or could you give us some color as to why revenue is not growing there and give us your thoughts about how we should think about future growth for ZEVALIN?
Rajesh C. Shrotriya: So the most [indiscernible] drug's the first quarter sales are usually in January, February the sales have slow pickup as you heard in our prepared remarks that, in fact, after a slow January, we did see that the February-March numbers are in line with about $7 million to $8 million that we have been doing with this drug. Keep in mind for treating follicular lymphoma, the biggest hurdle for ZEVALIN has been, there is no dearth of good clinical data with ZEVALIN. The problem has been that the people who prescribed this drug cannot give it. They need to read on to get this drug. And we are finding that about $7 million to $8 million seems to be the trend for this drug, which will continue until we have a newer indication like FUSILEV T-cell lymphoma, for which there is no approved treatment and we now have 5 published studies that show that with the FUSILEV T-cell lymphoma, the response rates to ZEVALIN are in excess of 90%. So we are very quite excited about that aspect of ZEVALIN.
Operator: Thank you. I'm not showing any further questions in the queue. Dr. Raj, please proceed with any further remarks.
Rajesh C. Shrotriya: Well, in closing, on behalf of my colleagues here at Spectrum, I would like to thank you, all, for joining us on this call today and your interest -- continued interest in Spectrum. Today, we have an exciting pipeline, a robust cash position and a strong management team, and I believe we have relevant position to grow meaningfully going forward. Please keep tuned, and I continue to believe that best is yet to come. Thank you.